Operator: Good afternoon. My name is Chanelle [ph] and I will be your conference operator today. At this time I would like to welcome everyone to the TigerLogic Third Quarter Fiscal Year 2015 Earnings Conference Call. [Operator Instructions] Before I hand the call off to the TigerLogic management team, let me remind you that this conference call includes predictions, estimates or other information that may be considered forward-looking. These forward-looking statements are based on the company's current estimates and they're subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Such risks and uncertainties include a variety of factors, some of which are beyond the company's control. Please do not place undue reliance on these forward-looking statements, and note that the company does not undertake any obligation to revise or update these forward-looking statements. Please review the company's SEC filings for a more complete discussion of its risk factors. I would now like to turn the call over to Brad Timchuk, our Chief Executive Officer. Mr. Timchuk, you may begin your conference.
Brad Timchuk: Thank you, operator. I appreciate everyone joining us on today's call to review the financial results of TigerLogic for the third fiscal quarter ended December 31st, 2014. With me today on the call are Justin Garrity, our President, and Roger Rowe. Roger joined us as Chief Financial Officer last month and brings over 30 years of financial and operational experience in the technology industry to TigerLogic. Roger has been with both larger global public companies, as well as smaller entrepreneurial companies, and I believe that that blend of experience will benefit us as we execute our business plan. For today's call, I will start by providing highlights for the quarter and summarize our priorities and focus areas in the near term. Roger will then provide an overview of our financial results and Justin will provide additional details on our Postano business. After our prepared remarks, we'll open the call up for Q&A. As I stated during last quarter's conference call, our focus is pretty straightforward. We need to continue to grow our revenues from Omnis and Postano while controlling our operating expenses in order to reduce our cash burn, and return to profitability sooner rather than later. As we move in that direction, we expect these initiatives will drive improved shareholder value and an increase to our stock price. At this time, I'd like to take a moment to discuss Postano and remind everyone of the challenges we are tackling for businesses and brands. The world of consumer communications and engagement has changed radically in the past 48 months due to mobile and social proliferation. Consumers are bombarded today with offers and incentives and they only have so much time and money available to evaluate these options. Brands and agencies continue to look for innovative ways to ensure their communications with their customers and prospects will resonate, resulting in increased sales and long-term brand loyalty. We believe at Postano we're pioneering innovative solution and partnering with brands to address these challenges. And we're excited about the market opportunity this presents. Since our last conference call, we've made good progress. For the third fiscal quarter, we grew our top-line revenues 33% year over year and 5% sequentially, and improved our adjusted EBITDA by over $0.5 million to the previous quarter. In addition to improving our financial performance, we have achieved a number of important product and partner milestones since our last conference call, specifically we launched our patent pending Postano Command Center Platform earlier this month in New York. This next-generation product features seamless wall-to-wall display, empowering users with a holistic view of brand, campaign and social data to deliver advanced insight into consumer trends, sentiments and behaviors. We believe this is a differentiating and powerful way to put big data into visual context for brands. We also released Postano 2.6, providing customers with improved in speed and curation workflow, new network integration, and multiple new visualization formats. We released Omnis Studio 6.1, offering customers an advanced Omnis development environment with greater overall performance for building and deploying highly-interactive enterprise web and mobile applications across multiple platforms, including Android and iOS-based devices. We were named a Facebook Public Content Solutions Partner, allowing us to continually work with the Facebook team to take advantage of the capabilities of the Postano platform. On the customer and events [ph] front, we also had some exciting recent wins in our sports vertical. Specifically, we were successful in expanding our NFL presence by partnering with the Arizona Cardinals and the Kansas City Chiefs. In college athletics, we expanded our impressive list of customers by adding relationships with USC, Texas Tech, Arizona State, Penn State, and the University of Virginia. We also expanded our NBA presence by adding the Cleveland Cavaliers to our customer list. Postano was featured to drive fan engagement and conversations during the Goodyear Cotton Bowl Classic and the inaugural college football playoff championship game held at AT&T Stadium in Dallas between the Ohio State Buckeyes and the Oregon Ducks. Postano operated flawlessly, delivering over 750,000 social posts, creating an estimated 150 million impressions during these events. Having had the opportunity to personally attend the national championship game, I came away impressed with our team's ability to execute at this level, showcasing the power of the Postano platform. Seeing Postano bring the social conversation alive for fans at the various venues and events leading up to and during the game was truly amazing. Over the course of five days, Postano content was displayed on more than 65 screens, including the 60-yard stadium screen. During the event, more than 500,000 social posts were generated, delivering an incredible 100 million impressions. This is a great example of how TigerLogic can collaborate with brands, innovate, and deliver compelling fan engagement solutions, resulting in increased fan loyalty, while also amplifying their brands through the power of social media. Moving forward, our focus remains on growing and serving both our Omnis and Postano customers. We continue to develop long-term partnerships that solve essential business and marketing challenges for our customers. With Omnis, we want to take full advantage of our global reach and the strength of our installed base. We have longstanding loyal customers that have built and deployed enterprise-level solutions across their organizations as a result of Omnis. And we are committed to continue supporting the environment of the Omnis development tools. Our 6.1 release added support for Res [ph] as it is the predominant web services architectural format being used today. This opens the door for Omnis developers to add a diverse range of services to their web and mobile application. We intend to continue to listen to our Omnis customers and provide developer-focused enhancements to improve their productivity and provide opportunities for our customers to grow their business by creating compelling mobile, web and desktop software solutions. With Postano, we plan to grow our revenues through direct sales and partnerships and by adding compelling new product capabilities that will allow our customers to create, offer engaging and measurable solutions for the customers using our platform. Over the last few months we've expanded our sales team in key markets and plan to continue to do so over the next few quarters. We also expect that partnering with industry leaders will provide a reach and accelerate our revenue growth. Last quarter we announced our partnership with FISH Technologies, a leader in experiential market. FISH has integrated Postano into their platform and their sales team bring Postano to their customers and partners, including the recent activation during the NFL Super Bowl fan experience. We have been pleased with the level of engagement and expansion of our customer pipeline through this relationship. We continue to explore additional strategic partnerships and add -- and expect to add more in the future. As a team, we are also keenly aware of our need to be good stewards of cash and reduce costs wherever possible. As an example of the actions we have taken, we decided to wind down our Storycode digital publishing activity last quarter. I mentioned during our last call that we were evaluating the digital publishing activities as revenues had been lower than expected and had not materially contributed to the top line. We're able to work on an arrangement with a few of our former employees, allowing them to pursue the digital publishing business independently. As part of the transition, which was effective December 1st, we assigned them our right to the trade name Storycode, but retained all the rights to the Storycode technology that we purchased in 2013. When we acquired Storycode in 2013, it was comprised of a technology platform and a digital publishing agency team. The technology platform was incorporated into Postano 2.0 platform and remained a foundational element of our current Postano product offering, leading to innovations in mobile curation, social aggregation, and the new Postano command center. This technology remains and is owned by TigerLogic. I will now turn the call over to Roger to review our financial results.
Roger Rowe: Thanks, Brad. I'm thrilled to be here at TigerLogic and look forward to contributing to the company's success. I'm impressed with our product offerings and the customers we are working with. I believe TigerLogic has great potential, and I'm happy to be part of the team. Before I cover the financial results for the quarter, let me provide a brief update on the delisting notice we received in October 2014 from NASDAQ requiring us to meet the minimum $1 per share bid price by April 6, 2015. To date we have not yet achieved this requirement and are continuing to monitor our bid price and evaluate different options for resolving this situation, including requesting an extension to the deadline for us to meet the minimum requirement. Earlier today we issued a press release and filed our Form 10-Q, both of which provide details regarding our financial results for the third fiscal quarter. I will next provide a summary of our results and encourage you to review those documents for additional information. Let me start with a review of the income statement. Total revenues for the third quarter were $1.9 million, an increase of 33% year over year. Sequentially, total revenues were up 5%. Revenues from our Omnis business accounted for 46% of our total revenues for the quarter and declined 9% both year over year and sequentially. Revenues from our social platform, which historically includes both Postano subscription and Storycode services revenues, accounted for 54% of our total revenues and increased 113% year over year and 20% sequentially. Year-to-date revenues from our Omnis business accounted for 55% of total revenues and increased 1% from the prior year. Year-to-date revenues from our social platform accounted for 45% of our total revenues and increased 86% year over year. As we disclosed in our 10-Q filing and as Brad more fully described earlier in the call, we wound down our Storycode digital publishing services during the third fiscal quarter. Historically this revenue stream has not been material to our revenues and we did not expect any future revenues from this publishing services activity. Net loss for the third quarter was $20.4 million or $0.65 per share, as compared to net income of $6.4 million or $0.21 per share for the third quarter of the prior year. Included in the current quarter loss is an $18.2 million non-cash goodwill impairment charge, while in the prior year we recorded $7.2 million of income associated with our discontinued MDMS business. Excluding these items, our net loss for the third quarter was $2.2 million, compared to a net loss in the prior year of $800,000. Our net loss through nine months was $26.6 million or $0.85 per share, compared to net income of $4 million or $0.13 per share in the prior year. Excluding the impact of the goodwill impairment and income associated with the discontinued MDMS business, the net loss year-to-date for the current year was $8.4 million, compared to $4.7 million in the prior year. Let me provide some additional color related to the goodwill impairment charge. As a result of our market capitalization dropping below our net book value as of December 31st, 2014, we engaged an independent valuation consultant to determine the extent, if any, of goodwill impairment. After a detailed analysis, we concluded that in fact the goodwill was fully impaired, resulting in the $18.2 million charge during the quarter. Please see our 10-Q for additional details of the goodwill impairment charge. Adjusted EBITDA, which is defined as net income adjusted for interest taxes, depreciation, amortization, other income and expense, stock-based compensation expense, goodwill impairment, acquisition-related costs and income from discontinued operations, was a loss of $1.9 million for the third fiscal quarter, an improvement from a loss of $2.4 million in the prior quarter and a loss of $2.1 million for the same period a year ago. The improvement in adjusted EBITDA is largely attributable to increased revenues during the quarter. Please refer to our Form 10-Q and the earnings press release for a reconciliation of net loss to adjusted EBITDA. I'd now like to take a look at some important items on the balance sheet. Cash as of December 31st was $12.8 million, compared to $12.6 million at the end of the prior quarter. As expected, we received the final $2.2 million that was being held in escrow related to the sale of our MDMS business. Accounts receivable were $0.9 million as of December 31st, which equates to 41 days sales outstanding. This represents an improvement of $100,000 and seven days from the prior quarter. Deferred revenue was $1.6 million as of December 31st, 2014. Deferred revenue represents committed customer orders that will be recognized as revenues in future periods. Over time we expect the deferred revenue balance will increase as we grow subscriptions for our Postano business that will recognize this revenue over multiple quarters. Now I'll turn the call over to Justin to discuss the Postano business.
Justin Garrity: Thank you, Roger. Postano was a driving platform with many customers. The collaboration with our customers leads to great product innovation, and our ability to productize and release new features is a key differentiator. We continue to make progress in enhancing the Postano product. As Brad mentioned earlier, we previously announced the release of Postano 2.6 and the Postano Command Center. These offerings build a unique power, ease of use and flexibility that Postano brings to make a measurable difference for our customers in their marketing and customer engagement efforts. To recap, Postano 2.6 introduced many new features. The key new feature was speed and performance. It is blazing fast. From the moment you log in to setting up a new visualization, to curating a proven content, Postano works in real-time, critical for live events. Postano 2.6 also provide the customers the ability to have multiple team members curate content at the same time, allowing brands to promote user-generated content and a workflow that is faster and easier than ever. Postano 2.6 introduced visualization formats, including highly animated visualizations for social voting and hashtag content. These are broadcast-quality animations and tailored for stadiums, lower third overlays for television and concert venue. Our entire Postano visualization engine was also optimized for iPad output, perfect for in-store displays and kiosks. Today I am pleased to announce the release of Postano 2.7, and we are introducing some of the breakthrough new features. Our flagship feature for this release is the addition of fan permissions. Fan permissions allows brands to request additional approval for use from fans for their social content, including tweets and Instagram posts. With 2.7, we are also introducing a new feature called Stay Alive. This technology is built into every Posano visualization, enabling it to continue to display and approve content even when experiencing internet connection problems. This is a multi-tiered solution that addresses potential connection issues at every level of the technology stack, including Wi-Fi drops, massive spikes in web traffic, server connection issues, and more. With Posano 2.7, we've also introduced a new category of premium visualization that can be customized by our powerful style editor [ph]. This puts the hands of this customization into our customers' hands. This includes a very popular photo mosaic format. Earlier this month we launched the Postano Command Center in New York, hosting a panel discussion, a press event and meetings with multiple customers to experience the product first-hand. We are very excited about this new patent-pending project, and has been two years in the making. Since its very early days as a user-generated content platform, Postano has been using social command center environments, including the University of Oregon, as well as many others. The platform is unique for its ability to not only approve [ph] and promote great content, but to visually discover and see all of the content that fans are generating. That is why we introduced a new product specific for these applications. The new Postano Command Center is designed for executives and marketing teams to view and interact with large quantities of content, from social, web and e-commerce sources, displaying metrics and conversations in real time. Being able to gain instantaneous consumer insights and engagement opportunities provides marketing teams the ability to quickly respond and interact with fans. The Postano Command Center is designed for massive wall-to-wall screen and features a unique interface, allowing the user to intuitively navigate around the different sets of social and marketing data, as well as add new dimensions with just a tap of the finger. The entire wall of data is controlled by an app optimized for phones and tablets. Designed for collaboration, anyone on the team can seamlessly take control of the command center, with the ability to navigate, zoom, filter and instantly pivot multiple sources of data. In addition to the user-generated content, the Postano Command Center allows brands to easily integrate and customize their social insights by integrating additional data and analytic sources, including Google Analytics, Salesforce, Adobe Analytics, and many others. We will continue to be transparent as our customers allow -- we will continue to be as transparent as our customers allow regarding the use of the Postano platform. Brad mentioned multiple new customers in the sports vertical this past quarter. We also have added many more customers in the technology, fashion, apparel, consumer products and entertainment verticals. We have been working to improve our communication with investors regarding our customer wins by increasing the number of press releases. Because most of our customers are Fortune100 and Fortune500 brands, we must be sensitive to their policies and press releases. I'll now turn the call back to Brad.
Brad Timchuk: Thank you, Justin. We believe TigerLogic has tremendous potential as a company. We are focused on serving customers, working to capitalize on the rapid shift of the empowerment of the consumer through social media and mobile devices. We have great technology, a global footprint, and impressive customer list of worldwide brands and extensive installed base of loyal users, no debt, and very passionate employees. While a lot of work remains to be done to achieve our goals, I'm excited about our future prospects and look forward to sharing our progress with you. That concludes our formal remarks. Operator, we are ready to open the call for questions.
Operator: [Operator Instructions] Your first question is from the line of Richard Ree [ph] who is a private investor.
Unidentified Participant: Yes, hello. I'm calling, really we have $13 million in cash and no debt, and, you know, from everything you guys say, I just don't feel the business is worth nothing, that's what it's valued at right now if you take out the cash. And it's just the stock price is ridiculous. You know, many people lost a lot of money. And there's no reason why you can't use $2 million or $3 million for a stock buyback, while you control costs, the people costs that you guys control yourself. That's question one. And question two, Brad, you named the same names, Cleveland Cavaliers, Arizona State last two conference calls, the same names, the same exact names. No new customer. You say you have all these new customers but you have not named them. So, to go along with your saying you're being more transparent, there must be a few companies that will allow you to name them. Thank you.
Roger Rowe: So, regarding the first comment on cash, obviously we are also disappointed with the current valuation of the company. As a management team, we're focused on executing the business, growing revenues and controlling our costs to return the company to cash flow breakeven as soon as practical. Obviously that's probably going to take a few quarters before we can -- before we get there. But in the interim, while we understand the request to potentially use some of the cash to do a stock buyback, there are no plans to do a buyback at this time, but obviously that is something that that management team and the Board will consider moving forward.
Brad Timchuk: Hi, Richard [ph]. It's Brad. Thank you for the questions. I certainly want to address your second part of the question in terms of names. As Justin had mentioned while he was speaking, one of the challenges that we have is, when we work with the brands that we're working with, exposing brands is something we have to be extremely sensitive to. It is deemed by brands as some of them view some of their strategies as strategic differentiators in the marketplace, and they're not particularly interested in coming forth with that. So we have to be sensitive to their requests and their needs, but we are, you know, we're pleased with the relationships we have and the ones that we continue to gain within the brands and the level of clients that we're working with.
Operator: Next question is from the line of David Kingsburg, Creative Library Concepts.
David Kingsburg: Hi, gentlemen. How are you today?
Brad Timchuk: Doing well, thank you.
David Kingsburg: The conference call seems very, very upbeat, a lot of excitement about the future. But my first question is, we have very feeble growth with this company. For all these products and all these opportunities, we're growing so slow. I don't understand it. I know you can't mention wins based upon relationships with brands, but what can you tell us about what are you doing, I mean you're hiring more salesmen, we hear that, but what are you doing to grow this into at least a $1 million a month business, a $2 million a month business. That's my first question, is the slow growth. The second part of my question has to do with the new Command Center. What growth are you going to see from that? Is that going to be incremental growth to the company? Is that going to help you sell more Postano? Was that a product that the industry was asking for, and not buying Postano with the lack of not having that product, could you shed some light on that for me also?
Brad Timchuk: Yeah, definitely, David. Thank you for the question. You know, you asked about growth, and one of the things that we shared earlier and in my statement when I talked about how much a market has shifted in the last 48 months and in some cases that's even been a shorter period of time, we are really working with brands, and I would call it somewhat of a pioneering and education phase, social media has been around, providing the tools to get brands to interact with their customers, what we call fans today, is an evolutionary process. So we built a very scalable, adaptable program and platform for brands to work with. One of the realities is we don't just get up in the morning and everyone's at that stage in terms of wanting to engage with the customers in that way. We know that the need and the requirements are there in the marketplace, and that's why we're all, you know, positive and upbeat. And I've spent the last 15 years of my career in customer engagement solutions and I'm very optimistic about some of the opportunities that lie in front of us to work with brands. But it's a process. So we continue to focus and execute on the core elements of our business, and we see that as something that will continue to grow. For the Command Center, I know Justin has some comments on that.
David Kingsburg: Well, let me just follow up on that if I could. Everybody today is aware of social media. I mean everywhere you go, it's social media, social media. Why would there be this learning curve problem when the industry is so turned on to social media applications?
Justin Garrity: Yeah, this is Justin. I'll answer that. Good questions. So the growth, specifically where we're focused is fan engagement. And social media obviously has been around for a while now and brands are very familiar with the many aspects of it and how it works and how to engage with their customers through those social media platforms. Our solution is unique in the sense that we are helping brands to discover their most positive fans and the things that they say in social media, the photos that they're sharing through the hashtags that they're activating. So when you see the hashtags that are promoted through commercials and through other marketing efforts, our platform allows these brands to essentially leverage that content and promote it to create kind of an endorsement engine for all the other consumers. That is the aspect that is unique and new and that's where we work with brands and exciting strategies to essentially amplify the campaigns that they have by incorporating this kind of crowd-sourced fan content. And that is where there's tremendous growth, because you can take a campaign, and by incorporating this type of activity, really amplify it beyond its normal reach.
David Kingsburg: Justin, what is -- Justin, what is the typical order size for you?
Justin Garrity: You're just looking for ASP across the board or you're looking for specifically on --
David Kingsburg: Yeah. Let's say, you know, I come to you, I want fan engagement, I'm a college, I'm some sort of sports program. What is a typical order gross to you? Is it $20,000, is it $30,000, is it $10,000, is it more? I mean how would you characterize that.
Justin Garrity: No, it's a good question. So it ranges quite a bit depending on the relationship. So we have some that are annual subscriptions, some that are event-based, you know, ranges anywhere in the thousands, like you mentioned, all the way into the six-digit figures for very high engagements with customers.
David Kingsburg: Are we reaching more of those high-end customers now? Because that's where your growth is going to be. I mean if you've got --
Justin Garrity: Exactly. We are. Yes, yes. And I'd like to specifically then talk about the Command Center. The Command Center is one of those offerings in that's higher tier. It is a product that was based on quite a bit of collaboration, innovation with our customer base. And as we introduced it to customers just this last month, we have already been working with customers using the Command Center, and we see a lot of potential for it. It is a very innovative product. And it's built on our existing Postano platform. So it really leverages the power that we've invested in that platform over the last few years in an exciting new format that has high value to these brands.
David Kingsburg: In round numbers, if a client would purchase Command Center, what are you talking in the range of, $50,000, $100,000? Where would it be? What I'm trying to do is trying to say, okay, how can we get this company to generate $1 million to $2 million in sales per month. And I see that we need a high-end customer that's willing to spend $50,000 to $100,000 to make that happen. So, is this Command Center going to generate that kind of income?
Justin Garrity: The Command Center is priced at -- it's a subscription-based product, and so, you know, typically it starts with a year subscription, and it starts at $20,000 a month.
David Kingsburg: Well, that's exciting. I mean that's a major hit for you guys.
Justin Garrity: Yeah, we're very excited about this product. It's received very positive reactions with our customer base. We have multiple engagements right now in the phase of discussing using the Command Center for many different brands and their operations.
David Kingsburg: Last question. By having the Command Center, does that enable you to sell more Postano? Even though it's a part of Postano? Even though it's a part of -- yeah, I'm sorry.
Justin Garrity: It's the same platform underpinning but as a different outlet. It's a little more sophisticated. It actually makes the Postano product more sophisticated by the innovations that were introduced with it. I believe the two work very symbiotic and we'll see customers that will start with one and then grow into the other offerings that we have.
David Kingsburg: Okay. That's what we want to know. Well, thank you very much. I mean I agree with the last caller, $0.34, $0.40 doesn't represent this company. Somehow the word is not getting out there. Part of it is that we haven't turned a profit in years, you know. But somehow, someway, through your PR, the value proposition on what we're doing here is so damn exciting, this company could be growing faster.
Brad Timchuk: Well, thank you, David. We won't -- we wouldn't disagree with that statement.
David Kingsburg: Okay, thanks so much.
Operator: Your next question is a follow-up from Richard Ree [ph].
Unidentified Participant: Yes, hi. A follow-up. You say you can't name new company -- some companies in terms of the brand, that they don't want to be known. But what you can do is you can name, say, for example, the number of customer that use the Command Center. For example, you say this quarter we have 25 customers, then you come in three months later, we have 42 customers. That way we can, as a shareholder, we can -- you can say, we have no new brands and we know this, if you can understand. If you cannot tell us the name, you can tell us the number. I don't see any reason why you can't use a number. And one other question I have is, with your two businesses, Omnis, Postano, I don't see why -- you said last quarter that you were going to cut down the Omnis offering, and I don't see why you just don't sell the whole thing and just concentrate on the Postano offering with your money, you cut down the expenses, and you just focus on one, sell the other one. It makes a lot of sense. We said this -- I think I've heard this before, over the last nine months, I've heard this more than once. But same thing each month. I don't think you need two parts to this company. I think just the Postano, and grow that, and cut expense. What do you say to this?
Brad Timchuk: Yeah, Richard [ph], thank you for the follow-up question. I mean the first one, in regards to customers, certainly I'll take that under advisement going forward. As Justin had mentioned, this was a product that literally was released, you know, within the last two weeks. So we're just at the very early stage of that. In terms of Omnis, you know, we're committed to our customer base and the continued support of Omnis. That's a point that isn't the first time, and I believe you've brought it up in the past, that, you know, we always need to look at all options in front of the business, and that we continue to do. But it's important that we stay focused on the fundamentals that we're currently engaged with to get value back to the shareholders.
Operator: Your next question is from the line of Joe Pratt with Stifel.
Joe Pratt: Hi. Perhaps this is for Justin. Justin, I'm trying to imagine what the Command Center does. And let's say I'm a big -- you're in front of a big brand, like a Nestle or a Procter & Gamble or something like that, and they said, what bad things could happen to us in the social media world if we don't have this Command Center. What would your response be?
Justin Garrity: Really good question. My response would be the Command Center is a unique offering that addresses the problems we see with many brands today, and that is that they've got multiple silos of data available to each team within the organization. So, somebody might be looking at as a social conversation but somebody else might be looking at marketing performance, somebody else will be looking at the website performance. And these are often reported through PowerPoint slides up towards management and executives. And what the Command Center does is gives you a real-time view across your brand, across all your products, essentially any dimension that has a specific name. You know, it could be a product name or that company's name or the multi-tiered brands that exist. That you can put all that in with very little effort. It is so easy to use. And all of a sudden you've got a panoramic view across your entire brand on how it's performing in terms of amount of conversation, what the conversation is, who the most influential people are that are talking about your company, what the most important post is that other people are retweeting and mentioning, as well as tying in web data, marketing data, e-commerce data. It is a truly powerful platform for visibility. And I think if a brand is using that, what they're going to avoid is they're going to avoid getting caught not knowing that a trend was happening around that brand in real time. It really is a super-powerful tool.
Joe Pratt: Well, I can imagine something like, let's say, something like Perrier Water, I mean this is just, you know, just as an example, an imaginary example, but let's say somebody out there tweeted, you know, the well in Italy is carcinogenic. You know, if I'm Nestle, I want to know about that. Is that the kind of thing you're talking about?
Justin Garrity: Potentially I'd love to get their business but I won't comment on a well, but in a hypothetical situation, I would say, if it was a brand that was concerned about let's say a negative conversation happening in social, the Command Center would definitely reveal that as part of its display. And I think you could easily see that happening in real time unfold, both through volume but also the influential posts that start to pick up on social media channels. It is something where really both the positive and the negative, kind of a general conversation around the brand. And because it's so easy to pivot, there's never been a solution like this where through the use of your phone or tablet, it's essentially a remote control through this very large display of information. And just by pivoting from one product to another or comparing one product to another, you can see all the metrics associated with that brand or product all at once. And so, yes, it could be negative conversation, it could be positive. A lot of times brands want to take advantage of a positive conversation and not aware that it's happening. You know, many times a brand starts to become part of a meme or some kind of popular conversation, and being able to jump in and see that happen in real time is extremely useful. So we're very excited about its potential, and working directly with brands on the product. We have learned so much. And those learnings have been built into the innovation that powers the Command Center.
Joe Pratt: Okay. How long have you had the Command Center?
Justin Garrity: We've been working on it, like I said, for a couple of years now, ever since I joined Postano. It's been part of the 2.0 platform as the discovery portion, but we really introduced in earnest in September of this last year privately with customers, and we just released it now two weeks ago for all customers to see this new product.
Joe Pratt: Okay. So is it valid to ask, how many have you sold so far -- how many times have you sold it so far? And how many times do you foresee selling in the next 12 months? I mean obviously that's, you know, the questions here from the shareholders are clamoring and that's what -- because we'd like to stop seeing quarters with $2 million cash burns.
Brad Timchuk: I would say that, you know, as of the time we're not disclosing the number of customers that we're in the beta program with the product, but we're very excited about the response that we received when launching the product, and very excited about the momentum it has in our sales channel.
Joe Pratt: Okay. Thank you.
Operator: [Operator Instructions] There are no further questions at this time.
Brad Timchuk: Thank you. I'd like to thank everyone for joining the call, and we look forward to talk with you in future earning calls.
Operator: Thank you for joining today's conference call. You may now disconnect.